Operator: Good morning, my name is Felicia and I will be your conference operator today. At this time I would like to welcome everyone to the Cinemark's Fourth Quarter Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks there will be a question-and-answer session. Thank you. I would now like to hand the conference over to Chanda Brashears, Ma'am, you may begin.
Chanda Brashears - Investor Relations Director: Thank you, Felicia and good morning everyone. At this time, I would like to welcome you to Cinemark Holdings, Inc.'s fourth quarter 2015 earnings release conference call hosted by Mark Zoradi Chief Executive Officer and Sean Gamble, Chief Financial Officer. In accordance with the Safe Harbor provision of the Private Securities Litigation Reform Act of 1995, certain matters that are addressed by members of management during this call may constitute forward-looking statements. Such statements are subject to risks, uncertainties and other factors that may cause Cinemark's actual performance to be materially different from the performance indicated or implied by such statements. Such risk factors are set forth in the company's SEC filings. The company undertakes no obligation to publicly update or revise any forward-looking statements. Today's call and webcast may include non-GAAP financial measures. A reconciliation of these non-GAAP measures to the most directly comparable financial measures calculated and presented in accordance with GAAP may be found in today's press release and on the company's website investors.cinemark.com. I would now like to turn the call over to Mark Zoradi.
Mark Zoradi - Chief Executive Officer & Director: Thank you, Chanda and good morning everyone. We appreciate you joining us for our 2015 fourth quarter and full year results call. It was a stellar year for the North American industry and especially for Cinemark, driven by a diversified footprint throughout 15 countries. You will hear the terms record, quarterly high, all-time high achievements many times throughout our prepared comments today, which we of course are obviously thrilled to share with you. As you are aware, the rampant success of Star Wars surged the fourth quarter North American industry box office up by approximately 11%, and set a new fourth quarter record with more than $2.9 billion. For the full year 2015, the North American industry celebrated an all-time high of over $11 billion in box office, exceeding the previous record by 2%. The industry box office success was not confined only to North America. The global box office achieved $38 billion for the first time in history. In fact, each international country where Cinemark operates also celebrated new box office records, including Brazil, Argentina, Colombia and Chile. Also important to note that in addition to the Hollywood content, we have the benefit of locally produced films that offer diversity and are accretive to the overall box office results, representing anywhere from 10% to 20% of the total box office. Now, let's discuss how this record industry box office environment translated to Cinemark's results. I'm going to focus on the full year highlights and Sean will address the quarterly results in his prepared remarks. Our domestic operations set all-time record in nearly every key performance metric in 2015, including attendance, admissions revenue, concessions revenue, average ticket price, concessions per patron and adjusted EBITDA. With our 9.6% domestic admissions revenue growth, we continued our long running track record of surpassing the North American industry with 200 basis points of outperformance for the full-year. Now, turning to our Latin America operations. Attendance is the engine that drives the growth of our international business, and even in the midst of political and economic headwinds, our international operations achieved record attendance with more than 100 million patrons for the year, an increase of nearly 12%. This is the highest international attendance in the history of our company, reinforcing the fact that the exhibition industry is more closely tied to film content rather than economic cycles. In addition to attendance, even with a sizable foreign exchange headwind of approximately 25% throughout 2015, our Latin America circuit was able to generate growth across multiple categories, including reported admissions revenue, concessions revenue and adjusted EBITDA. In constant dollars, our full year international operations were especially impressive with revenue growth of 28%. These results are reflective of our tenured operating experience throughout South and Central America, more than 20 years, through many different economic cycles. Each country is well versed and adept in managing their operations under various circumstances. Now continuing on, our combined worldwide results yielded all-time records with attendance of more than 280 million patrons, admissions revenue up nearly $1.8 billion and total revenues up $2.9 billion. Most importantly, the revenues translated to the bottom line to an adjusted EBITDA of $664 million with an industry-leading adjusted EBITDA margin of 23.3%, which is a 60 basis point expansion from the prior year. Now, let's look at some of the Cinemark's key initiatives and how our team achieved these outstanding results. First, we're focused on our core circuit, which represents approximately 85% of our asset base. Our operating excellence, diligent and consistent investment in our core circuit across the globe continues to drive our industry outperformance. We are committed to our customer focused approach, with our enhanced concept initiative, which provides extraordinary movie going experience for our patrons. We now have 397 screens installed with our luxury lounger reclining seats through both our new build and repositioning campaigns. In addition to other market adaptive platforms, including our high-end VIP brand, Cinemark Reserve, in-theater dining with Movie Bistro, art and independent film focus with our CinéArts theaters and D-BOX seats which features cinematic motion that is coordinated with the films' audio and video. As discussed on our last earnings call, we intend to expand our luxury lounger presence and anticipate an additional 500 screens will feature this premium amenity by the end of 2016, through both new builds and repositioning, bringing the cumulative total to approximately 900 screens. The results of our repositioned theaters to-date are very strong and exceed our stringent investment hurdles. Further expanding on our enhanced concept, the Cinemark's immersive XD experience leads the industry as the number one private label PLF circuit in the world with 210 screens. Our ability to show the highest grossing film each week generates very consistent and highly productive XD results. XD continues to help drive our premium segment of worldwide box office, which was a healthy 25% for the full year. Led by XD, the collective private-label PLF box office increased 126% over the last three years through screen growth, customer preference and studio demand for these high performing screens. By the end of the year, roughly 25% of our worldwide circuit will feature an enhanced concept. Next, the worldwide screen growth continues to be an initiative for the company. We're extremely pleased to report that as anticipated, we met our target and grew our international circuit by 102 screens. Not an easy feat, given the complexities of building in such dense metropolitan areas. We also opened 99 new screens in the U.S. for a total of 201 worldwide screens during 2015. We now operate 513 screens and 5,796 screens in 15 countries around the world. So that was all last year. Let's look forward to the year ahead. Year-to-date, the North American industry box office is up 2.6% compared to 2015, with the continued momentum of Star Wars, The Revenant along with the new releases Kung Fu Panda 3, and of course, the most recent breakout hit Deadpool. We're also looking forward to Zootopia, which is already released in some international markets to great results, as well as the much anticipated debut of Batman v Superman. The rest of the year also has great potential with well spaced films and something to appeal to every audience with Captain America: Civil War, X-Men: Apocalypse, Finding Dory, The Secret Life of Pets, Star Trek Beyond, Ghostbusters, the Harry Potter spinoff Fantastic Beasts and Where to Find Them, and the Star Wars spinoff, Rogue One. And with the studios continuing to outlining their release dates for tent-pole films far in advance, we have a much greater visibility into 2017 and 2018, and the line-ups look tremendous. Our industry has a long-term historic trend of strength and stability during technological advances and various economic cycles. And we as an industry as well as a company are continuing to evolve and ensure that that trend continues. As part of that evolution process, Cinemark is thrilled to announce our Cinemark Connections program, which began its initial launch last week in selected markets and will continue to rollout to additional markets during the first and second quarters of this year. Connections is a free app-based benefits program that lives in our current app and encourages brand loyalty from our customer base with both traditional and experiential rewards. Customers earn points for movie tickets, concession purchases, successful use of CineMode and social media sharing. Points can be redeemed for a wide variety of rewards, such as behind-the-scenes movie footage, promotional movie items, games, digital download, live, hangout chats with stars and directors just to name a few. The carousel of awards changes regularly and will be customized to the specific user based on their likes and preferences. This is a remarkable opportunity to further understand our customers, enrich the guest experience and ultimately help drive attendance and loyalty. The initial feedback since the launch has been very encouraging, and we look forward to providing further updates as this customer focused initiative progresses. Now regarding our capital allocation. As announced, our Board of Directors increased our annual dividend by 8% to $1.08 per annum effective with the fourth quarter dividend. This brings our dividend yield to 3.5%, which significantly exceeds the S&P 500 yield by approximately 130 basis points. We're extremely pleased that our financial strength, consistent cash flow enables us to return capital to shareholders while still maintaining a sufficient cash balance to invest in strategic growth opportunities that enhance long-term shareholder value. In closing, I'd like to thank the entire Cinemark family for all the planning, execution, diligence and collaboration that generated our record-breaking 2015 results. That concludes my prepared remarks. I'll now turn over the call to Sean to address a more detailed discussion of our financial performance. Sean?
Sean Gamble - Chief Financial Officer & Executive Vice President: Thank you, Mark. Good morning, everyone. We are very pleased with the strong operational performance and record-setting financial results we delivered in 2015 across a diverse global footprint. As Mark stated, I will focus primarily on fourth quarter highlights as he already touched on the full year. In total, our worldwide revenues increased 7.2% to $707.2 million in the quarter, driven by increases in attendance, concessions consumption and pricing. Similarly, our worldwide adjusted EBITDA grew 7.3% to $168.4 million, resulting in an adjusted EBITDA margin of 23.8%. Domestically, attendance grew 3% to 45.3 million patrons, establishing a new fourth quarter milestone. With the strength of premium formats and strategic price increases, our average ticket price increased 8% to $7.68. The combined growth in attendance and price drove our domestic admissions revenues up 11.2% to a fourth quarter record of $348 million. Benefiting from attendance growth in the quarter as well as from our varied ongoing initiatives that are focused on increasing sales incidence, concession revenues grew 13.6% to $186.6 million, another fourth-quarter high. Likewise our concessions per patron grew 10.5% to $4.12, marking the first time we've exceeded the $4 threshold. We've now reported year-over-year concession per patron growth for an industry-leading 36 consecutive quarters. As noted on prior calls, we attribute this continued success to an expansion of product categories that align with consumer demographics, a robust and varied array of promotional actions, floor designs that enhance customer convenience while stimulating impulse purchase and selective strategic price increases. Overall, our US operations delivered total revenues of $558.8 million and generated $137.9 million in adjusted EBITDA, which resulted in an adjusted EBITDA margin of 24.7%. It is noteworthy that both revenues and adjusted EBITDA set fourth quarter records for the company. Internationally, we faced a tougher year-over-year comp relative to the U.S. having grown attendance a robust 9.6% in the fourth quarter of 2014, and while Star Wars was still a significant contributor to overall box office this year, it was not the phenomenon across Latin America that it was elsewhere around the world. That being said, our international operations delivered attendance results for the quarter in line with last year at 21.6 million patrons. International admissions revenues were $81.7 million and our average ticket price was $3.78 on a reported basis. In constant currency, our average international ticket price grew 17.3%, primarily driven by inflation and premium product mix. International concessions revenues were $46.2 million in Q4. As in the U.S., our concessions initiatives continue to drive strong growth throughout Latin America with concessions per patron of $2.14 that were up 18% versus prior year in constant currency. Total international revenues for the fourth quarter were $148.4 million with an adjusted EBITDA of $30.5 million and an adjusted EBITDA margin of 20.5%. Please note that our international results, as reported, were impacted by an approximate 27% foreign currency headwind in the quarter. As a reminder, the vast majority of our international operating expenses are transacted in local currency, including film rental and facility lease expenses. So the impact of currency headwinds are predominantly translation based and not transaction oriented. Returning to our worldwide consolidated results, fourth quarter film rental and advertising costs as a percentage of admissions revenues increased 190 basis points to 55.7%. This increase was primarily driven by the high concentration of Star Wars in the quarter, which represented approximately 22% of the domestic box office and generated more than $650 million in 14 days. Salaries and wages as a percentage of overall revenue also increased marginally by 20 basis points, driven by global minimum wage pressures and the domestic impact of the Affordable Care Act. Conversely, concessions costs improved this quarter by 40 basis points to 15% of concession revenues, primarily due to sales price increases. As a percentage of total revenues, facility lease expenses also improved by 80 basis points, while utilities and other costs were flat year-over-year, despite the impact of material modifications to government utility regulations in certain international markets. And G&A for the fourth quarter declined by 20 basis points as a percentage of total revenue. Collectively, fourth quarter pre-tax income was $87.9 million in 2015, compared to $73.2 million in Q4 of the prior year. Our fourth quarter's effective tax rate was 33.8% and net income attributable to Cinemark Holdings, Inc. grew 22% to $57.8 million or $0.50 per diluted share. With respect to our balance sheet, we ended the year with a cash balance of $588.5 million and a net debt position of $1.5 billion. Shifting attention to the status of our U.S. footprint, we operated 337 theaters and 4,518 screens in 41 states and 100 DMAs at quarter-end. We built five new theaters with 49 screens and closed two theaters with 20 screens during the quarter. We have signed commitments to open seven theaters and 70 screens during 2016 and 5 theaters and 59 screens beyond 2016. We expect to spend approximately $73 million in CapEx to develop these 129 screens. We also anticipate closing approximately 60 screens during 2016. Internationally, our Latin American circuit grew to 176 theaters and 1,278 screens across 14 countries. During the quarter, we expanded by 3 theaters and 21 screens. As of quarter end, we have signed commitments to open 6 new theaters and 45 screens during 2016 and 2 theaters and 17 screens subsequent to 2016. We anticipate spending approximately $39 million in CapEx to develop these 62 screens. We continue to view Latin America as a long-term growth opportunity, but we are cognizant that the political and economic environments in certain countries coupled with the complexities of building in these densely populated areas may have an impact on our short-term organic growth efforts. Conservatively, we are targeting around 6% screen growth in Latin America in the near-term. Regarding, overall CapEx, we spent $99 million in the fourth quarter, including $41 million on new builds, and $58 million on existing theaters, which includes core maintenance, theater repositioning with luxury loungers and other cash flow generating opportunities. As we've stated in the past, our first priority when it comes to capital allocation is to invest in growing our company and delivering a high-quality experience for our customers, all while meeting our strict investment hurdles. Along these lines, for the full-year of 2016, we anticipate spending between $300 million to $325 million in CapEx, primarily to pursue such growth opportunities. $100 million is associated with new builds, both domestically and internationally. Approximately $80 million will be spent on core maintenance for existing screens in line with our historic run rate. And the residual $120 million to $145 million is driven by cash flow generating projects that include our luxury lounger efforts that Mark addressed in his prepared remarks. In closing, we are extremely pleased with the progress we continue to make on our strategic initiatives with a record fourth quarter and full-year 2015 results we delivered worldwide, with the opportunistic flexibility we have been able to maintain through our strong balance sheet and with our ability to consistently return cash to shareholders, including the 8% dividend increase we announced this morning. Felicia, that concludes our prepared remarks, and we would now like to open up the lines for questions.
Operator: Your first question comes from line of Eric Handler with MKM Partners.
Eric O. Handler - MKM Partners LLC: Good morning, and thanks for taking my question. Two questions for you guys. First, it was nice to see the dividend increase, and I'm just curious, the 8% increase is – is there any way that you – how did you arrive at that particular number, is it pegged to some type of cash flow measure, is it a percentage of earnings, some type of payout ratio? Just wondering how you got to that particular number. And then second, Sean, with regards to your CapEx number, the $120 million to $145 million of cash flow projects – cash flow generating projects, is there also some type of – will you get some of that back from landlords in terms of rebates or landlord contributions?
Sean Gamble - Chief Financial Officer & Executive Vice President: Sure. I'll take both questions. As far as the dividend increase goes, we believe that this increase aligns with our balanced capital allocation approach, considering the heightened level of ROI generating CapEx investment we've got planned for 2016. We thought this was a good way to kind of balance investing in the company, while delivering additional cash to shareholders and maintaining our flexibility to act on other opportunities as they come up. I will say that it has not been our intention – has not been intentional in the past that the dividend increased only once every three years and it is a topic that we continue to discuss with our board members on a regular basis.
Mark Zoradi - Chief Executive Officer & Director: Let me say one thing, Eric also there – I think as you note this is going to take our yield to about 3.5%. We feel like that is a competitive yield and it continues to give us the flexibility that we're looking for, for strategic opportunities and, as Sean noted, the significant continued capital expense, which is all EBITDA generate or excuse me, the majority of which is very positive in terms of our future EBITDA growth.
Sean Gamble - Chief Financial Officer & Executive Vice President: And then with regard to your second question about landlord contributions on some of the repositioning efforts we have going on. We – for the most part, we tend not to have significant landlord contributions when we're building our theaters as well as when we're repositioning our theaters. A lot of times landlords are willing to do that for a pretty high return in the form of rent going forward, while it can – it can help your ROI in the near-term, it can create a lot of pressure on your EBITDA going forward. So, we aim to deliver our ROI and EBITDA thresholds. If we can get something without impacting future rent, we'll certainly go for that, but in general, we're not using that as a way of subsidizing our financing.
Eric O. Handler - MKM Partners LLC: Great. Thank you very much.
Sean Gamble - Chief Financial Officer & Executive Vice President: You bet.
Operator: Your next question comes from the line of Robert Fishman with MoffettNathanson.
Robert Fishman - MoffettNathanson: Good morning, I have one for Mark and one for Sean on similar theme. Mark, respectfully I understand that you've now only been in the CEO position for about six months, but for Cinemark's message on capital allocation seems to be unchanged to us, outside the company, for about three years or so. Is there anything you can share with us to help us better understand how your message or the conversations that you've had with the board is different today than before. And what gets you or the board to change this position in the months ahead?
Mark Zoradi - Chief Executive Officer & Director: Thank you, Robert. First of all, there are active discussions with the board each and every quarter as you can imagine, and that's why we chose to announce the dividend increase today. And truly our focus is on finding the best way to build long-term shareholder value. And to do that, we've prioritized investing in strategic opportunities that meet that 20% ROI and that 20% EBITDA hurdle that we talked about several times. Also at the same time, by returning cash to our shareholders, which we've done in the way of dividends and now this takes our yield to approximately 3.5%. And then finally, we want to continue to maintain financial flexibility to act quickly when opportunities present themselves. We are continuing to look for those opportunities, both on an internal basis as well as on an external basis. And we hope that we're sending the right message to the investment community by increasing our dividend this time and to continue to reevaluate both dividend and other potential return of cash to shareholders, each and every quarter as we go forward.
Robert Fishman - MoffettNathanson: Okay, thank you. And for Sean, can you help us think about, the CapEx in Latin America specifically and how should we think about it in local currency versus in U.S. dollars, given the currency moves in the region and how that's offset by any savings there from further investments in new build and premium upgrades in the region?
Sean Gamble - Chief Financial Officer & Executive Vice President: Let me just make sure I understand your question correctly. CapEx in terms of how do you think about it from use of local currency point of view?
Robert Fishman - MoffettNathanson: Well, just given the fact that in Latin America, given the currency moves, I am wondering, are we going to see any savings in a U.S. dollar perspective versus how it compares to the local currency spending?
Sean Gamble - Chief Financial Officer & Executive Vice President: I see, I got you. Okay. Well, to start, as I think, we're generating cash locally in local currency. We are able to fund all our organic and any acquisition needs that we have depending on size of course with our local currency that we have on hand. As far as the kind of translation of cost of CapEx to U.S. dollars, yes, when we translate that across, you will see a little bit of a benefit of that. Of course, it depends- the overall numbers that we quote will depend a bit on the locations both by country as well as within country that where we're building because that can influence the mix of how much the cost is per screen. But on the whole, you will see a benefit from translation in the total cost. But on the flipside, there is also inflation that's working to push cost up. In a lot of these countries in Latin America, you can have anywhere from low 2% to 3% to more or like mid-digits 10% or so in Brazil to all the way over 30% in a place like Argentina. So, while that hasn't fully offset the FX movements we've seen in the recent years that is also serving to increase kind of cost when you look on the whole. The flipside of that is we're still able to meet our investment hurdles because you also have inflation of revenues as well, and we get the benefit of that helping our overall EBITDA.
Robert Fishman - MoffettNathanson: Okay. Thank you.
Operator: Your next question comes from the line of Alex Quadrani with JPMorgan.
Julia Yue - JPMorgan Securities LLC: Hi. Thank you. This is Julia Yue on for Alexia. A couple of questions. First, with such strong domestic concession growth this quarter and looking forward to 2016, what are the most important initiatives that could still drive growth if you lap the gains from this past year? And then second, could you give us an update on how much room you think you have to grow ticket pricing as well this year with potentially difficult comp from the high share of premium format box office last year perhaps offset by core pricing gains and maybe higher pricing from the new reposition theaters?
Mark Zoradi - Chief Executive Officer & Director: Julia, I'll take the first question. Regarding our food and beverage offering, we are very excited about the go forward because in all of our theatres, we are looking at them and doing quite a few various initiatives. Let me start with product line up, we're literally testing every month different and new food items, as they're successful we roll them out. So we're very much looking at what is the product that we're offering and we'll continue to innovate there along a variety of lines that could include alcohol, it could include ice cream, it could include customized coffee, it could include additional hot food as well as other snack items. Secondarily, the way that we lay out our concession areas continues to evolve and improve, I mean, probably one of the most simple, but very significant increases is lane dividers where we've made both candy and bottle drinks very accessible to the consumer to reach and grab as they're checking out and they're not behind the candy line and that's made a significant difference. Third is we continue to innovate with promotional ideas to create value for the consumers, multiple items, and the same promotional items tied to specific movies, products tied to significant movie – to specific movies. So as we look at our concession areas both domestically and internationally, we think there is continued room to grow that area because we're continuing to innovate in all areas.
Sean Gamble - Chief Financial Officer & Executive Vice President: And then on the pricing question, we look at price very discretely market-by-market and based on what's happening within the market of each and every one of our theaters. So, there's a big factor that goes into that in terms of what we do from just a base pricing aspect. I'd say if anything when we were kind of looking at approaching 2015 and the strength of the content, we felt like there might an opportunity based on how we had been a bit distance behind our peers to take advantage of that a bit, and we probably – we increased our prices a little bit higher than we've done in the past. As we look to 2016, I think we're going to continue to be kind of careful with what we do. Our aim will still be to be, I would say, slightly lag our peers because we never want price to be – to impact our attendance, which to-date it has not. We'll obviously continue and, hopefully, continue to get the benefit of favorable pricing mix as it pertains to premium product as we get – we can get customers to select those types of viewings relative to just standard 2D format. That answer your question?
Julia Yue - JPMorgan Securities LLC: That's very helpful. Thank you very much.
Mark Zoradi - Chief Executive Officer & Director: Thanks.
Operator: Your next question comes from the line of David Miller with Topeka Capital.
David W. Miller - Topeka Capital Markets: Yeah. Hey, guys. Congratulations on the stellar results once again. Just a question about Latin America. You know, conceptually I've always thought of Latin America and particularly Brazil as kind of a demand curve that kind of keeps moving to the right and you guys sort of keep chasing that supply demand equilibrium with new builds in the region. I mean what is the – like what's the right number that – what's the number in your head that you feel like you need to get to whether it's three years out, five years out, seven years out, where you're not – saturate is the wrong word, but what is the right number that you feel like you need to get to so that you match supply-demand equilibrium, you've hit that dot right on the graph? Thanks a lot.
Mark Zoradi - Chief Executive Officer & Director: You know, Latin – as you pointed out, Latin America is a very vibrant territory, and we clearly look at it as individual countries as opposed to a whole. So the right number in each country is going to be dependent upon how deep we've gone, and specifically in Brazil that you brought up. The majority of our density to-date had been in key larger cities, but as we look to the future, we think that we can continue to expand into the smaller cities as well with specific theaters that fit that footprint. In the larger cities, São Paulo and Rio, we can have screens, 8, 10, 12, maybe even as much as 14. In the smaller areas, we'll start to open theaters, four, five and six-plexes because it's going to meet the market demands there. We think there is a continued significant growth there. We were very pleased to hit the 100 screen hurdle that we'd been talking about. As we look forward to the new year, we think we'll be somewhere in the 70 to 75 screens for Latin America, a portion coming out of Brazil and quite a bit of the screens coming from other territories, we're moving into Central America more. So this clearly gives a growth area for us, and we're going to continue to get there. And the goal isn't just screen count, really the goal for us is return on investment and what kind of profit do we actually gain from that. So we are very disciplined, we're in a disciplined expansion mode for Latin America.
David W. Miller - Topeka Capital Markets: Okay. Thank you very much.
Mark Zoradi - Chief Executive Officer & Director: Thanks.
Operator: Your next question comes from the line of Barton Crockett with FBR Capital Markets.
Barton E. Crockett - FBR Capital Markets & Co.: Okay. Great. Thanks for taking the question. I wanted to step back just for a minute because I think one of the big overhangs for you guys is just people's questions about what is the environment really like in Latin America? And I was wondering if you could just talk to that generally? I mean, we hear a lot of headlines about the Zika virus, see the foreign currency massive headwinds, read about the macro slowing, know that places like Brazil, their economy is very tied into China, which has been slowing. You guys are saying that you could see slower screen growth this year than last year which presumably is tied into maybe slower mall development. So what are you seeing there? Does it feel like a place that's slowing, that's maybe – there could be some headwinds on the development longer term beyond this year that is more of a headwind? How would you describe the environment?
Mark Zoradi - Chief Executive Officer & Director: It's a very interesting question, right. I'm glad you asked it. 30 days ago, Sean and I made a trip down to Latin America and visited dozens and dozens of theaters. And when you sit here in the United States and you just read about what's going on in terms of the items that you listed out, government, financial inflation, you tend to think the situation is more dire than what truly the reality is. You go down there and you go to the theaters, and there are thousands and thousands of people going to the movies. We had a 12% increase in admissions there. So, yes, the economy is an issue, but it's also one that has been somewhat adaptable to the people of Latin America. They've lived with various cycles for a long time. Movies continue to be a relatively affordable piece of entertainment where maybe foreign travel or even travel outside, travel within their country or travel outside of their country isn't, going to the movies is still an item that families want to do. So the business is continuing to grow there. No question that there are some issues of being able to grow the market. We think that we're going to grow, like I said, 70 to 75 screens as opposed to 100. To me, I feel like that's continued to grow, we're going to make sure that those are all profitable with positive return on investments. And as you look at the unemployment rate, Brazil is at a 6.9% unemployment rate, in 2003, it was at 12% unemployment rate. Argentina is at about 6% unemployment rate, it used to be at 25% during the really deep recession that they had in the past. So it is an environment that has its challenges, but continues to grow for us.
Barton E. Crockett - FBR Capital Markets & Co.: Okay. Thank you for that color. And if I could switch gears a little bit on the movie slate, it's really skewing pretty strongly towards IMAX type films, IMAX is a format where you guys are underexposed, but obviously, you look at things like Deadpool, you look at things like Star Wars, it feels like very kind of favorable environment for IMAX. How are you seeing your XD screens perform relative to IMAX? Are you keeping up doing better or lagging, how would you describe it?
Mark Zoradi - Chief Executive Officer & Director: The XD initiative for Cinemark is very strategic and we are continuing to support that with new screen growth. The real advantage for us in terms of the XD screens is we can program those each and every week exactly with what our film team thinks is going to be the most commercial movie. Our XD screens represent about 3.5% of our screens and yet is generating close to 7.8% or 7.9% of our box office. So they have been extremely important to us, we invested the capital and we get to keep all the returns and share that amount only with our studio partner. So they have been very, very profitable from a return on investment standpoint. And to answer your question specifically, yes, we think XD is very competitive in the marketplace and does very well and response that we've gotten from consumers has been at the highest levels relatively to their acceptance of the quality level.
Barton E. Crockett - FBR Capital Markets & Co.: Okay. And if I could just push that a little bit, I mean I understand all the strategic rational, I understand the return on investment, but is the top-line growth trend on a per screen basis at XD consistent with IMAX, better or worse. I mean can you give us any sense of that?
Mark Zoradi - Chief Executive Officer & Director: Well, I really can't compare it necessarily to IMAX, I can only look at what we're doing and the growth of our XD screens has hit and exceeded our internal targets.
Barton E. Crockett - FBR Capital Markets & Co.: Okay. All right, great. Thanks a lot.
Operator: Your next question comes from the line of Ryan Fiftal with Morgan Stanley.
Ryan Fiftal - Morgan Stanley & Co. LLC: Great. Thank you. Good morning. Just one follow-up on Barton's question on LatAm. Box office in Brazil, obviously, it was very strong at the industry level for the full year, but fourth quarter attendance was basically flat, which I think implies attendance per screen was down. So it sounds like if you're not really seeing any change in consumer behavior that maybe that was more content driven, but I'm wondering if you have any color there? Thanks.
Sean Gamble - Chief Financial Officer & Executive Vice President: Yeah. I think your assessment is exactly correct. Last year there was, it was a tough comp last year, there was a lot of product that played really well to the marketplace. Again, Star Wars while big in Latin America, sci-fi type films don't translate as well across LatAm, as do more action and family-oriented films and particularly animation. So in the fourth quarter our attendance per screen was down, but really when you look on the whole of the year, attendance per screen was up a little over 4%. So it was very content driven, when you look at what we're already seeing at the beginning of this year in January and February in Brazil, I mean, the box office has been booming, and it's largely again been content driven, they've had phenomenal success with Deadpool and they had a local film called The Ten Commandments, which has been, I think the second highest box office ever in Brazil or second highest attended film ever in the history of Brazil since tracking. So it's a long way to answer, the short answer is yes, it's what you said, it's been content oriented.
Ryan Fiftal - Morgan Stanley & Co. LLC: Sean, that's helpful. Thanks for the color.
Operator: Your next question comes from the line of Tony Wible with Drexel Hamilton.
Tony Wible - Drexel Hamilton: Thanks. That was actually the question I wanted to zero in on, it looks like, there's a 9% decline in the attendance per screen in LatAm. And historically, I guess, you guys have been growing that well ahead of the U.S. rates. So I guess, you mentioned in the quarter that we've already guided into now that that trend has reversed itself. And that international attendance per screen, you're saying, is now back above the U.S. levels, where it's historically been?
Sean Gamble - Chief Financial Officer & Executive Vice President: Well. I'm not necessarily saying that, I was just saying that it is content driven, for the full-year last year attendance per screen was up 4.4%. That's on top of 2014 when attendance per screen was up 4% year-over-year. And first quarter to-date has been terrific in Brazil from an industry standpoint just with the strength of some of the content that's been out there. So I mean we'll see how the full quarter plays out international relative to domestic, but so far things look really good.
Tony Wible - Drexel Hamilton: Got it, great. Thank you.
Operator: Your next question comes from the line of Ben Mogil with Stifel.
Benjamin Mogil - Stifel, Nicolaus & Co., Inc.: Hi, good morning and thanks for taking my questions. So I guess to fit in, I'll have to ask at least one on Latin America here. When you talk about the 6% screen growth that you're looking for, and that's a little bit lower in terms of the number of screens we've seen – sorry, a little bit lower than the percentage we've seen in the last couple of years. I mean, there's clearly some cautiousness which I think is understandable. Is that also your cautiousness coupled with developers' cautiousness or is it really more coming from your side than from what's realistically available to be done in the market if you will?
Mark Zoradi - Chief Executive Officer & Director: I would say it's not necessarily our cautiousness. We are very diligent in regards to how we evaluate each and every investment, but the developer, the development pipeline in Brazil specifically has slowed down a little bit, and it doesn't mean that it's not going to continue into the future. And so I think that's probably the single most important factor as we look of why we're looking at 6% instead of 7%, but I think it's really important to note that doing 70 or 75 additional screens in 2016 in Latin America is a very positive move forward, considering the headwinds that have taken place in that marketplace. So I would read this – I would read the continued growth we're having there in a very positive light considering the negative feedback that's been in the media back here in the U.S. and it was one of the reason that Sean and I wanted to go down there and see and meet with developers as well as visiting all of our theaters and our offices.
Benjamin Mogil - Stifel, Nicolaus & Co., Inc.: So, is this sort of – thank you for that. Is it sort of fair to say that in the past, there has been some situations where you've had competitors sort of ramp up supply a lot faster than you, is it sort of fair to say that the overall market, you are no different than the overall market from the best that you can get a sense of where the competition – what they are doing in terms of screen growth?
Mark Zoradi - Chief Executive Officer & Director: I think that's fair. I mean, obviously we don't know the exact pipeline of what our competitors are doing, but we do know, what potential projects are out there and we're continuing to get our fair share and in some cases more than our fair share of the projects that we want. And sometimes, there is projects out there that quite frankly we choose not to do because they don't meet our hurdle rate and we are happy to say, no, thank you in those cases.
Benjamin Mogil - Stifel, Nicolaus & Co., Inc.: Okay. That's great. Thanks. And just one more on a larger sort of content cycle. I think last year and even extraordinarily 2015 and probably in 2014 as well, certainly, there were lots of big blockbuster movies did lots of business, but we kind of seen the share of box office coming from sort of comedies and romantic comedies, in particular and dramas, sort of that mid-tier kind of product that you used to do between say $50 million and like $100 million at box office, that's really come down a lot. When you guys look at what's going on, do you think that's because people are choosing to see them more and more in the home market because it's so much easier now to see stuff in the home than a couple of years ago. And then there is that sort of cycle if you will, the studios (46:53). I'm kind of curious if you're seeing sort of certain dramas be sort of permanently smaller than they used to be on the content side?
Mark Zoradi - Chief Executive Officer & Director: I appreciate the question, Ben. I would take hesitance with the word permanently because really truly it's product flow, and it just depends on what kind of movies work as well today. Who would have called Deadpool, a movie which quite frankly, I think the reported production cost on that from Universal is about $58 million was going to come out and likely do north of $350 million in the domestic box office. So it doesn't have to be a big expensive movie, it just has to be a movie that works, and you won't have been calling that a big tent pole movie with the production cost of $58 million. The good thing about the 2016 lineup is we do think there will be a more equal related movies in the various buckets of performance. We're likely not to have the mega blockbusters of $500 million and $600 million performers, but we are going to have more movies in that $150 million to $250 million range, which helps two things: one, it spreads the audience out; it creates more successful movies for our suppliers; and three, it releases the pressure a little bit on film rental because you're not hitting the highest tiers on the scale.
Sean Gamble - Chief Financial Officer & Executive Vice President: And I would just add – I would just add to that briefly. I think a lot of what the big studios have done, you've seen that it's just kind of a dynamic of what they've been choosing to produce because the larger type films tend to feed well from a brand building into the rest of their ecosystem, whether it's theme parks or consumer products or elsewhere. At the same time now, I think there is other studios out there that have recognized there is an opportunity in that mid-tier space and you have other companies like STX and some former heads of studios were coming in and developing product in that area which we're optimistic will help bring back a lot of the content that may have been in lesser volume over the last couple of years.
Benjamin Mogil - Stifel, Nicolaus & Co., Inc.: Okay. Fair enough. Thanks. And now that the year is over, any movement on M&A. I think usually the smaller guys wait until January 1 to sort of roll forward. Any sort of change albeit early in the year?
Mark Zoradi - Chief Executive Officer & Director: I would say nothing, no change because we very much are on the outlook for potential M&A, both domestically and internationally, and you know the deals that are to be looked at, we absolutely, usually get a very good early look at them. But we're pretty disciplined in our approach. And I think it has paid off well for our stockholders and we're going to continue to. So nothing on the specific horizon, but very much on our radar.
Benjamin Mogil - Stifel, Nicolaus & Co., Inc.: Great. Thank you very much.
Mark Zoradi - Chief Executive Officer & Director: Thanks.
Operator: Your next question comes from the line of Eric Wold with B. Riley.
Eric Wold - B. Riley & Co. LLC: Thank you. A number of my questions on Latin America had been addressed, kind of focusing a little more on the content side and the slate side. Any thoughts, as you're going to approach the Olympics in Brazil, any opportunities to benefit from that similar to what we saw around the World Cup, you seeing studios move to take advantage of it or avoid it with their programming choices?
Mark Zoradi - Chief Executive Officer & Director: I mean, there wasn't a big effect on the box office in Brazil before and with the World Cup and so relative to the Olympics, the studios and the distributors tend to align their product up in situations to where it's not going to be directly competitive. We don't think it's going to have either an adverse or a positive effect necessarily on the box office.
Eric Wold - B. Riley & Co. LLC: Okay. And then just a follow-up on the last one around M&A. I know you are always going to lookout, but given, I guess what you've seen in the past, when there's been issues in Latin America economically and kind of currency wise that's impacted development schedules it looks like it's happening now somewhat. Has there been any change in seller's mindsets when that has happened in the past, in terms of them looking to monetize given that development opportunities may be a little more limited?
Mark Zoradi - Chief Executive Officer & Director: We haven't seen any significant M&A increase in Latin America based on the economic situation and it's because the business is still a very healthy growing business; admissions are up in Latin America. So we haven't seen any spikes in that area.
Sean Gamble - Chief Financial Officer & Executive Vice President: And I would just say a lot of the top circuits down there tend to be – that are family-owned, tend to be owned by families that are in the billions of net worth. So they're less impacted by some of the short-term dynamics in the marketplace becomes other factors that will tend to drive their decisions to bring their circuit to market.
Eric Wold - B. Riley & Co. LLC: Perfect. Thank you, guys.
Operator: Your next question comes from the line of Jim Goss with Barrington Research.
James Charles Goss - Barrington Research Associates, Inc.: Thanks. I've got a couple also. First, I was wondering about the process of measuring the success of your rewards programs, you talked about modifying or adding on to the programming you have. Have you been able to determine any impact on the sales and margins of concessions and attendance from the rewards programs? I know it's impossible to know for sure, but how have you been able to measure that?
Mark Zoradi - Chief Executive Officer & Director: Jim, I think we will be able to, but literally as I noted, we just began the rollout of this, and when I say just began, I mean on February 16 in two markets. So we're at the very early stages of it. We will roll it out to all of our markets throughout the remainder of this quarter and into the second quarter. So we're way too early to have the ability to determine anything given that we've just started in two markets with the rollout coming.
James Charles Goss - Barrington Research Associates, Inc.: Well, you've had other programs in existence I think, both e-mail and app-related type (53:28)
Mark Zoradi - Chief Executive Officer & Director: Well, there is no question about that. We send out 4 million to 5 million e-mails each and every week and have over 4 million unique users on our Cinemark app. And a significant amount of the promotional material that goes out is definitely tied to concession sales, concession offers. So, yes, we do see a significant redemption in those various offerings – those very offerings. But relative to the new loyalty program, which we just announced today, it's too early to determine that.
James Charles Goss - Barrington Research Associates, Inc.: Yeah. Well, certainly. Do you do a similar sort of thing in any of the Latin American markets or well, let's start here and then you'll try to determine whether you apply it there as well?
Mark Zoradi - Chief Executive Officer & Director: We have ongoing loyalty programs in a number of our Latin America markets.
James Charles Goss - Barrington Research Associates, Inc.: Okay. Maybe in a different area, given that your geographies are different from, say, AMC and Regal, what type of locations have you determined there are best suited to target your reseatings since I think theirs tend to be focus more in the urban markets?
Mark Zoradi - Chief Executive Officer & Director: The reseating analysis, we look at obviously very specifically to the specific DMA and the theaters in the marketplace. Also we look to do theaters that have a high occupancy and, excuse me, a high capacity with not necessarily a high occupancy and it's a very good way to reposition that theater because you're going to lose 55% to 60% of the seats. So you want to make sure that you don't have a theater that is highly utilized, otherwise you might run out of seats. And then we look to say in the marketplace what do the demographics look like there and what do we think – what's the competition look like there, has anybody else reclined in that marketplace. And to-date, we've been very, very happy with the results because they're exceeding our investment hurdle rates.
James Charles Goss - Barrington Research Associates, Inc.: Okay. And one final one. Early in this call, you made a comment that the – clearly the business is driven more by film content rather than economic cycle. And as you say that and as we look at a new year where the chances of setting a new record are somewhat less than they appeared to be last year, does that give you any pause for your business?
Mark Zoradi - Chief Executive Officer & Director: It really doesn't. I've been in the movie business in one way or another for over 30 years, and you just don't know what's going to take place. And the best example of that is what just happened two weeks ago with Deadpool. I mean, no one in the industry was calling that movie to do what it did. And there were three or four movies like that last year. So we look at the line-up and we think the line-up is very strong for the remainder of 2016. And one thing that I really do like about it is it's more balanced both across studio providers and more balanced relative to not just two or three mega, mega hits. And then when we look at the 2017 line-up and the 2018 line-up, I mean, really truly in my experience we've never had this level of look forward transparency to what the studios and distributors have announced. So we're optimistic for 2016 and also very optimistic for 2017 and 2018 with what's already on the books, so it's pretty positive. And then as I noted in the prepared comments too, there's always that little added bonus with the international marketplace because you get those local titles that you don't necessarily always see coming.
Sean Gamble - Chief Financial Officer & Executive Vice President: And the only other quick thing I'll add is, we think it's important to look at the business more on a longer-term cycle. It's hard just to always look quarter-to-quarter year-to-year because of the ebbs and flows of the product content.
James Charles Goss - Barrington Research Associates, Inc.: Okay. Well, thanks very much.
Mark Zoradi - Chief Executive Officer & Director: Thank you.
Operator: Your next question comes from the line of Matthew Harrigan with Wunderlich Securities.
Matthew J. Harrigan - Wunderlich Securities, Inc.: Thank you. I guess as a tangent to Ben Mogil's question, I think even Deadpool himself pointed out in the movie that the studio couldn't afford more than two X-Men, I thought that was pretty funny...
Mark Zoradi - Chief Executive Officer & Director: That was a good line, wasn't it?
Matthew J. Harrigan - Wunderlich Securities, Inc.: Little tongue-in-cheek. A couple things, one, you've got Crouching Tiger, Hidden Dragon, Sword of Destiny coming out this week on Netflix, I was curious if you had any comments on that? And then secondly, 3D has pretty much been subsumed in the premium category, but still some interesting things happening there, higher resolutions and even autostereoscopic 3D without the glasses over a very long period of time. And I guess the last question, I guess, on a compounded basis, when you look at your outperformance going back 3 to 5 years, you must be up high-teens low-20%s on the share takage from the rest of the industry. Are you seeing any specific locales where you really got a lot of amped-up competitive intensity of the recliners or anything because it's just pretty remarkable, people think of this industry as being pretty generic, I mean you're clearly the outlier, but man, to compound that sustainably over that longer period of time seems pretty amazing, not to be overly nice, but it's curious.
Mark Zoradi - Chief Executive Officer & Director: What was the first question again? You had...
Matthew J. Harrigan - Wunderlich Securities, Inc.: Crouching Tiger, Hidden Dragon, Netflix?
Mark Zoradi - Chief Executive Officer & Director: Yeah that – we don't have any concern there. Netflix is a great service, it's a great in-home service, they had other movies. Netflix is very much a television network and not unlike what HBO and Showtime have done for years. They have some original products that goes out there, so it's not playing in the theaters, it's playing on Netflix. And we hope they have great success with it. But I don't see it as an issue relative to the theatrical business, it's not one really that we talk about. And the second question was...
Matthew J. Harrigan - Wunderlich Securities, Inc.: 3D technology development over a period of time?
Mark Zoradi - Chief Executive Officer & Director: Oh yeah, 3D. Okay 3D, we feel like, we really are the leaders there and we've put a big emphasis on putting more light on the screen than any other theater chain. We think 3D has got a great 2016 coming, there are a lot of movies coming in 3D. Our philosophy is to make sure that the consumer has the ability to choose a 3D offering or a 2D offering of that particular movie. But we continue to be bullish on 3D and support the effort very much with high light levels and quality in our theaters. And I think Sean will...
Sean Gamble - Chief Financial Officer & Executive Vice President: Yeah, I'll just say to your last question just about kind of our performance over the years. I think we attribute that highly to our kind of intense focus on driving attendance that kind of philosophy that cuts through our pricing focus, our CapEx investment. We spend more than our peers on maintaining our core circuit, which we believe that's kind of fundamental to keep people coming back. We also are supplementing our circuit where it makes sense with a lot of these enhanced concepts, repositionings as we obviously talking about makes sense and all that becomes additive. But it all stems back to a philosophy on high-quality experience, attendance driven, and maintaining your core circuit as well as the new builds and organic efforts that you're doing.
Matthew J. Harrigan - Wunderlich Securities, Inc.: Thanks, Mark, thanks Sean.
Sean Gamble - Chief Financial Officer & Executive Vice President: You bet.
Operator: Your next comes from the line of Leo Kulp with RBC Capital Markets.
Leo Kulp - RBC Capital Markets LLC: Hi, good morning, thanks for taking the question. Just a quick one. On the international side, can you talk about how the economics of the theatres in your newer markets like Central America compared to your more established markets like Brazil and Argentina?
Mark Zoradi - Chief Executive Officer & Director: Leo, the short answer to that is they're very comparable as it relates to a return on investment and EBITDA margin. And that's how we evaluate the investments go forward.
Leo Kulp - RBC Capital Markets LLC: On a revenue per theatre and EBITDA per theatre, are they similar?
Mark Zoradi - Chief Executive Officer & Director: Yes, very similar.
Leo Kulp - RBC Capital Markets LLC: Similar to – okay.
Mark Zoradi - Chief Executive Officer & Director: Yeah.
Leo Kulp - RBC Capital Markets LLC: Thank you.
Mark Zoradi - Chief Executive Officer & Director: Thanks.
Operator: And at this time, there are no further questions.
Mark Zoradi - Chief Executive Officer & Director: Thank you very much for joining us this morning. We look forward to speaking with you again following our first quarter. Thanks, again.
Sean Gamble - Chief Financial Officer & Executive Vice President: Thanks everyone.
Chanda Brashears - Investor Relations Director: Thank you.